Alexander Bergendorf: Good morning. This is the Axfood Year-End Report 2025 Telephone Conference. And with me today are Simone Margulies, President and CEO; and Anders Lexmon, CFO. In the Investors section of our axfood.com website, you will find the presentation material for today's call. We encourage you to have that presentation at hand as you listen to our prepared commentary. After the presentation, we will be taking questions. A recording of this call will be made available on our website. So with that, I will now hand over the words to Simone. So please go to 2. Go ahead, Simone.
Simone Margulies: Thank you, Alex, and good morning, everyone. We report another quarter of above market growth and stronger market positions for all our retail sales. By leveraging the strength of our business concept, we are also preparing for the future and investing in strategically important areas to continue attracting more customers, become even more efficient and strengthen our competitiveness. On this slide, you see some highlights for the quarter, highlights which we will cover during the course of this presentation. Turning to Page 3. So now as usual, I will start with a brief market overview and the review of the quarterly development. Let's go to Page 4. Market conditions in Swedish food retail continued to be characterized by a high activity level in the quarter with intense competition and continued high price awareness among consumers. Overall market growth amounted to 4.5%. Statistics Sweden reported that the annualized rate for food price inflation was 3.5%. This level was somewhat lower on a sequential basis and in absolute terms, the overall price level was quite stable. Growth in Axfood's retail sales amounted to 8.7% and 5.3% excluding City Gross. Our growth was thereby once again above the rate of the market, both including and excluding City Gross. Volume growth from increased customer traffic, strong customer loyalty and new store establishments contributed to the development. We have a long history of market share gains. With the Q4 performance, we have outperformed the market every quarter this year and are reporting our 11th consecutive year of market share gains. We are now on Page 5. Consolidated net sales for Axfood grew 4.4% in the quarter with higher volumes and positive trend in like-for-like sales in all our retail chains. We acquired City Gross in November 2024. So during the fourth quarter, we started annualizing their performance. However, only 2 months of the quarter, which is clear when you took -- look at their comparison figures. So please go to the next page, #6. Group operating profit increased to SEK 860 million, and the operating margin was higher at 3.8%. Operating profit included items affecting comparability of minus SEK 13 million related to City Gross. Last year, items affecting comparability pertained to a reevaluation of our previous minority stake in City Gross. Operating profit and margin on an adjusted basis, which excluded items affecting comparability, also increased. Adjusted operating profit was SEK 873 million and the adjusted operating margin amounted to 3.8%. The improved profitability was primarily driven by high sales volumes and good growth in both total and like-for-like sales, a stable gross margin trend and effective cost control. In 2025, we increased our focus on productivity and costs and implemented measures to improve efficiency within and between the group support functions. In the fourth quarter, we saw some effects from these measures through cost savings, not only in the various businesses, but also in joint group functions, which partly explains the positive profit development there. Let's now turn to Willys and Page 7. Willys continued to outperform the market in the fourth quarter. Growth primarily came from higher volumes as a result of an increased number of customer visits and new store establishments. Willys continues to attract new members into its customer loyalty program, Willys Plus, and see strong loyalty among its customers. Earnings grew to SEK 467 million, which corresponded to a stable operating margin of 3.7%. The increase in operating profit was primarily driven by the increased sales volumes, a stable gross margin development and good cost control. Moving on to Hemkop and Page 8. Hemkop's retail sales growth in the quarter exceeded that of the market. Hemkop saw volume growth driven by increase in customer traffic and in addition, a higher average ticket value impacted the sales development positively. Operating profit was higher at SEK 78 million, and the operating margin also increased to 3.5%. The increase in operating profit was mainly driven by the increased sales, a somewhat high gross margin and solid cost control. Earnings in the prior year was impacted by new store establishments. Turning to Page 9. City Gross demonstrated a positive performance during the fourth quarter. The financial comparison figures here obviously refer to the 2 months period November to December 2024. However, to give you a better understanding of City Gross' underlying sales performance, sales growth numbers are calculated with the full October to December period 2024 in the comparison base. While total growth was impacted by store closures, like-for-like growth was solid and amounted to 3%. City Gross reported a profit for the quarter of SEK 28 million on an adjusted basis, corresponding to an operating margin of 1.2% with positive contribution from its like-for-like growth. In addition, structure measures and efforts to streamline operations contributed to the development. As a reminder, the fourth quarter is generally a strong quarter for hypermarkets. On a reported basis, operating profit amounted to SEK 14 million, which corresponds to an operating margin of 0.6%. This included the items affecting comparability I just mentioned, which refers to structural measures, including discontinuation costs for stores and sales clearance within the nonfood assortment. Turning to Slide 10. Our restaurant wholesaler, Snabbgross delivered growth of 6% in the quarter on both a total and like-for-like basis. Higher volumes through increased customer traffic had a positive impact on sales in addition to higher ticket -- average ticket value. In terms of profitability, the quarterly development was weak. Operating profit amounted to SEK 35 million, corresponding to an operating margin of 2.5%. A lower gross margin associated with temporary market investment was not fully offset by volume growth, which had a negative impact on the earnings development in a very competitive market. Next, Page #11. During the year, Dagab has developed the group's assortment of affordable, good and sustainable food with a continued focus in the fourth quarter on ensuring that our chains can provide Swedish customers with a competitive offering. Dagab's fourth quarter net sales increased by almost 5%, driven by sales to Axfood's own concepts. Operating profit amounted to SEK 314 million and the operating margin was 1.5%. Operating profit was negatively impacted by a lower gross margin due to market investments and negative mix effects. The logistics center in Balsta, along with the high-bay warehouse in Backa and automation of fruit and vegetable warehouse in Landskrona has significantly increased Dagab's capacity and efficiency in logistics. Work continues to optimizing our new logistics structure. And later on in the presentation, I will come back to the next significant investment in our logistics structure, the facility in Kungsbacka that we plan to establish to increase capacity and efficiency also in the southern parts of Sweden. But before that, it's time for our CFO, Anders, to take you through the financials. We are now on Page 12, but please let's go to the next page, #13. And Anders, please go ahead.
Anders Lexmon: Thank you, Simone. Net sales for the group increased by 6.1% to approximately SEK 89 billion. Including City Gross, retail sales increased by 16.4%. And excluding City Gross, the increase was 5.9%, which was higher than the food retail market in total, where growth amounted to 4.5%. Operating profit, excluding items affecting comparability, increased 7.4% to almost SEK 3.7 billion. The operating margin, excluding items affecting comparability, remains unchanged at 4.1%, where the City Gross acquisition impacted the margin with minus 0.2%. Then please turn to Page #14. During 2025, the cash flow was SEK 345 million, which was almost SEK 300 million higher compared to last year. We saw strong underlying operating cash flow from both for the fourth quarter and the full year, mainly due to a strong operational performance boosted by positive working capital changes. Last year was impacted by negative calendar effects in working capital. The negative cash flow from investment activities of SEK 1.7 billion was substantially lower than last year as last year was impacted by the City Gross acquisition. Excluding the City Gross effect, we have a higher pace in investments in our retail operations and a lower pace in automation investments compared to last year since we now are through with our investment in the Balsta logistics center. By year-end, Axfood utilized approximately SEK 2.7 billion of our credit facilities compared to SEK 3.1 billion by the end of Q3 and SEK 2.9 billion at year-end 2024. We are now on Page 15. During the last couple of quarters, we have seen a positive trend in the net debt development. The net debt increased with the acquisition of City Gross in Q4 last year and the dividend paid in March, but is now below 2 and excluding IFRS 16, just below 0.5. The equity ratio amounted to 21.2%, which was higher than last year and above the year-end target of 20%. Total investments, excluding leasehold and acquisition amounted to SEK 1.7 billion. In 2025, during the year, we established 9 new group-owned stores, 3 fewer stores compared to the previous year. Our investments in store modernizations have increased compared to last year. Please then turn to next page, Page #16. When we look at the capital efficiency, we had a negative development of our rolling 12-month net working capital. The impact of the City Gross acquisition has increased the KPI with approximately 0.3 percentage points on a rolling 12-month basis, which implies a positive underlying development. Capital employed has increased over the last years, mainly due to the acquisitions of Bergendahls Food and City Gross as well as the investments in Balsta. The level of capital employed increased slightly during 2025, mainly as a result of increased leasehold debt and equity. Due to the increase in capital employed, the return on capital employed decreased to 15.5% compared to last year despite an improved operating profit. And thereby, I have come to the end of my presentation and hand over to you again, Simone.
Simone Margulies: Thank you, Anders. We are now on Page 17, and it's time for me to give you an update on our strategic agenda and priorities. So let's turn to Page 18. We have a clear house of brand strategy in our group, and it makes us unique in the Swedish food retail. We aim to deliver the strongest customer experiences, and we are present in all market segments with our different concepts. Our largest brands, Willys, Hemkop and City Gross made significant progress during the past year. With a clear focus on always delivering Sweden's cheapest bag of groceries, Willys once again took market share, increased its earnings and continue to expand with new store establishments. Willys has had a strong momentum for a long time and has excellent potential to reach even more customers. The aim is to open at least 10 new stores for Willys annually in the coming years by also continuously creating an even better customer experience in stores through continuous upgrades to its new store concept, Willys point 0 -- 5.0, sorry. Hemkop also gained market share during the year while improving its profitability. This was achieved through a high pace of store modernization and continuous development, focused on price value, sustainability, fresh products and meal solutions. For City Gross, it was a year of transformation with a series of improvement initiatives in many areas. Important steps forward were made, resulting in improved like-for-like sales growth, a lower cost level and positive earnings trend. We continue to work according to plan to strengthen the chain for the future to become a truly competitive player in the hypermarket segment with the aim to achieve profitability at some point during the second half of 2026. We are now on Page 19. To create the right conditions for our retail concepts to be able to succeed on the market, we leverage our strength as a group and focus on 6 strategic development areas. We elaborated these during the Capital Markets Day in September, and I would now like to go through some of our most important strategic priorities within these going forward. So please turn to Page 20. We strive to offer the market's most attractive assortment, a highly relevant offering that makes affordable, good and sustainable food available to everyone. This works includes both branded products and private labels, but now I will focus more on the latter. Because our extensive range, including the Garant and Eldorado brands, is a significant competitive edge. These products contribute to profitable growth by creating an attractive and distinctive assortment that strengthens the offerings within our various concepts. Our products represent quality and innovation, and we focus a lot on sustainability and health with a wide selection of sustainability label and organic products. In addition, we have a large selection of products with Swedish origin with more than 400 products under the Garant brand. During 2025, we continue to develop our private label offering and launched approximately 270 new products. Our total private label share of sales was diluted by City Gross and that has a lower private label share than Willys and Hemkop. The private label share continued to increase in each chain, a trend that we've seen for a long time. And in particular, now we see a strong growth also in City Gross. We are now on Page 21. We have an attractive store network, a network that we will continue to develop in the coming years by accelerating the pace of expansion while maintaining a high rate of modernization of existing stores. During 2025, we established 9 new group-owned stores. On a net basis, we have thereby expanded our network of group-owned stores with more than 100 in the last 10 years. And we aim to continue on this path also going forward. In addition to store establishments, we have continued to modernize and refurbish existing stores in a high pace. This is really about creating inspiring store environments and great experiences to drive customer traffic and profitable growth. Looking at major refurbishments from 2021, sales from these stores increased significantly more than the market and operating profit also increased. I also want to elaborate on how our house of brand strategy creates flexibility and opportunities in terms of our store presence. We can maximize the opportunity on each local marketplace by having the right concept in the right place. Last year, we converted 2 City Gross stores to Willys because we saw a better opportunity for Willys to be successful in those areas. These conversions have proven to be highly successful as both stores have experienced a substantial sales increase following the conversion. Adjusted for inflation, sales in the Bromma Blocks store in Stockholm was more than 50% higher during the September to December period last year compared to the same period the year earlier when the store was operating under the City Gross brand. And the corresponding increase for the Borlange store was more than 70% during the November to December. This really highlights the strength of our house of brand strategy and how we can leverage our strong portfolio of concepts. Next page, #22. Last year, we communicated that we are planning to establish a new highly automated logistics center in Kungsbacka to strengthen our supply chain in Southern Sweden. During the fourth quarter, we signed the agreement for the automation equipment with Witron, a market-leading dynamic warehouse and order picking systems. We have collaborated with Witron for several years as they have been our supplier of the automation solution in Balsta. The total contracted investment will amount to EUR 265 million during the period 2026 to 2031. On this slide, you can see how the investment undertaking is spread out in the next couple of years, which we communicated just over a month ago. The amount for 2026 is included in our CapEx guidance that I will provide you with shortly. We are continuing to build for the future, and this new logistics structure will create capacity for us to continue to grow and become even more competitive. We are now on Page 23. At Axfood, we have a highly ambitious agenda when it comes to sustainability and health. These are integral parts of our operations, and our scope is the entire food supply chain. During the fourth quarter, we reached a significant milestone as we completed our transition to fossil-free transports, both in our own operations and in procured transports. This is truly a great achievement, and I'm proud that we, as a group, have chosen to take a lead this way to reduce emissions. We now exclusively use renewable fuels or electricity, and we also have target to electrify 50% of our own transport fleet by 2030. Now while the impact on emissions from transition is not fully reflected in our numbers for the year, emissions from transports nevertheless went down substantially in 2025. And looking at the last 5 years period, transport emissions have decreased with approximately 70%. Another highlight during the quarter was that we applied to have 3 climate targets validated by the science-based target initiatives, and we are now on Page 24 in the presentation. We have been working on this for some time now, as you may know. For us, it is, of course, important that goals and ambitions are worked thoroughly through thoroughly. And during the process, we identified a need to develop and improve our existing climate reporting, mostly regarding Scope 3. This work now enable us to better establish a transition plan to show how we will reduce emissions in the long term. We commit to reduce emissions in our operations by at least 70% by 2030 compared to 2024, to have at least 70% of our suppliers set science-based climate targets by 2030, the latest, and to reduce flag emissions by at least 30% by 2030 compared with the base year 2024. Our application will now be revised by the SBTi, and we will come back to you when we have our targets validated. Please turn to the next page, #25. Today, we're issuing the outlook for 2026. We are continuing to invest in our business to strengthen competitiveness and create value for all our stakeholders. Investments are expected to amount to SEK 2.2 billion to SEK 2.3 billion, excluding acquisitions and right-of-use assets. The largest part of this is related to recurring investments in our operations and it also covers expansion through new stores. However, the amount also includes SEK 470 million automation investments for our future logistics center in Kungsbacka, as I just mentioned. To encourage even more customers to shop with us, we will continue to maintain a high rate of new store establishments in 2026 and beyond. Our ambition this year is to expand the store network by 10 to 15 new group-owned stores in 2026. In addition, we want to continue attracting franchisees and add new retailer-owned stores to expand our total store base. To further strengthen City Gross, we will incur SEK 50 million in structural costs in that business in 2026, which will be classified as items affecting comparability. These costs are mainly related to its store base. Moving on to the dividend on Page 26. Axfood has a strong financial position, and the Board of Directors will propose to the Annual General Meeting an increased dividend of SEK 9 per share. The dividend will be split into 2 payments, SEK 4.50 per share in March and SEK 4.50 per share in September. The dividend proposal corresponds to 83% of profit after tax, well in line with our dividend policy. Now turning to the final page of this presentation, Page 27. So let me sum up. We are summarizing a quarter and year in which we attracted growing numbers of customers with increased loyalty and strong positions in all our market segments. We are well positioned to remain a challenger and feel confident about the year ahead. We operate in dynamic markets that continue to be dominated by a strong focus on price value, and our aim is to continue to grow more than the market. That is because we have a strong business model and structure that create opportunities and competitive advantages. For us, the key to drive long-term growth and profitability is based on customer traffic, loyalty and volume growth. We have seen a strong development in all these areas over a long period also in 2025. Based on our great commitment and passion for food throughout the organization, we are leveraging the strength of our business model. And that was all for today. So now please turn to Page 28, and I hand over to the operator to open up the line for questions. Thank you.
Operator: [Operator Instructions] The next question comes from Magnus Raman from SB1 Markets.
Magnus Raman: I think I would like to start asking about City Gross, where we now see, if you look at the second half of '25 in total, it's a rather clear profitability that you reach H2 '25 on an adjusted EBIT basis. Could you elaborate a little bit on this in comparison to the target you set out to reach breakeven H2 '26. Should we view it that you have already achieved this target now 1 year earlier? Or is it a very big seasonality difference here that lead us to -- that you want to highlight when we look at H1 '26?
Simone Margulies: Yes. Thank you very much. Within City Gross, we are in a transition, as you know. We are doing -- we're in the middle of our transformation plan and to do the turnaround. And our aim is to create a really strong core and to create a strong and competitive player within the hypermarket segment. And this is -- it comprises a lot of different initiatives, everything from the operating model to the store concept to the customer offering. We also made things -- restructuring the organization, et cetera. We're also investing in price. And within the fourth quarter, there are seasonal effects for the hypermarket segment that are in general stronger in the fourth quarter. However, we are taking really, really good steps within City Gross. But as you understand, we are in the middle of a journey, and it can go up and it can go down. And we are reiterating that in the second half of this year, we will create an attractive and profitable player within the hypermarket segment. So we are reiterating that goal.
Magnus Raman: All right. Just another thing here on the like-for-like sales growth for City Gross. And forgive me if you've already mentioned this earlier in the presentation, I came in a bit later here, but you state in the table 1.5% like-for-like sales growth. And I assume that, that relates only to the November to December period. Can you say if that is correct? And then in the text, you write October to December, 3.1% like-for-like growth. Do I interpret this correctly? And so in that case, September sales, I assume must have been much stronger?
Simone Margulies: To start with, yes, you have interpreted correctly. So 3% in the quarter and 1.5% for the November, December period. And that's actually -- as we talked a lot before, that's actually where it all starts. We have to have a positive growth in like-for-like, and that's why we're really, really happy to see that during the quarter.
Magnus Raman: But considering that, I guess, that in the mix of these months in the normal quarter, I guess, that the last quarters, i.e., November and December must be -- should be larger. Nevertheless, October, I think I said September, I mean, of course, October, October must have been very strong for the full quarter figures to reach 3-plus percent, while the November to December was only 1.5%. Is that correct?
Simone Margulies: We don't actually guide you monthly, but -- and it's also about how you say what kind of comparison figures you have, of course. I would say that we're really happy that we see the positive like-for-like growth that we've seen now for some time for City Gross. And as I told you, it's a journey, and that's why we're reiterating profitability somewhat in the second half of this year because it's -- and we're doing and taking large measures and initiatives to really create and building this strong core. And that's why we have to -- you have to look at the trend here because it can -- some months, it can go up and some months it can go down when we're doing so much changes as we do. So for us, it's about looking at the trend and it starts with the like-for-like growth, but we also made a lot of initiatives regarding cost and organizational changes and also operating model and now we're also developing the store concept. So I think it's important to see the trends. And also I think your 2 questions maybe are linked. We're on a journey, it can go up, it can go down since we're doing so much changes in the field.
Magnus Raman: Right. But the trend, if we look at 2 figures, then the trend in like-for-like sales growth has been very stable because you've been delivering now on full quarters, 3 quarters in a row with above 3% positive like-for-like growth and you delivered 3 quarters on sort of adjusted operating profit level. You delivered 3 quarters in a row with sort of improving results then flat in Q3 and now a clear profit in Q4. So -- but all right thank you for the remarks. And then I'd like to ask on Dagab. You mentioned here as one explanatory factor to the weaker margin price investments from Dagab in the quarter. And I guess maybe it's been a special quarter to a certain extent, for example, with the PRO survey taking place in this quarter. Can you elaborate if you think or see that there were some temporary factors as it relates to price investments that weighed on Dagab's margin in Q4?
Simone Margulies: To start with, the PRO doesn't have anything to do with this. And we do, as we always do, to deliver for Willys the cheapest bag grocers in the market and also for Hemkop and City Gross it's important to be highly competitive. So I say PRO doesn't -- we don't take that much measures about PRO. But to start -- but to go to Dagab, in Dagab, we see really good effects of the investments in -- we made in the logistics, both in Balsta, but also the fruit and vegetable in Landskrona and the new high-bay warehouse that we have automated in Backa. However, as we said, we have a negative effect in the margin, and that is due to both market investments, but also mix effects. And to elaborate a little bit more about mix effects, when we have changes in customer behaviors and also volatility commodity pricing and then that can vary from month-to-month and quarter-by-quarter. And for instance, we have very -- which we are happy to, we have good volume growth within fruit and vegetables, where we also have had deflation, and that has a negative effect in the earnings in Dagab. So I think it's important to see -- look on our result as a group, how we actually play our business model in the most efficient way. And by that, we're once again gaining market shares, the 11th year in a row and also improving our profitability as a group.
Magnus Raman: Right. But do I interpret you rightly that when you then mention investments, you speak about capital investments that have been capitalized and then leading to a higher depreciation impacting results. Is that what you mean?
Simone Margulies: No, it's market investment. Dagab is a supporting company for all our customers and their role is to help all the customers to be really competitive in the market and to have the right conditions to take the market development, and that is what we mean with the market investments.
Magnus Raman: Exactly. That was my feeling. And then that means, of course, market investment means investment into reduced price, I guess, on certain merchandise for the retailers?
Simone Margulies: Yes, it's to increase the competition.
Magnus Raman: Yes, yes. And I mean -- so I mean, the quite aggressive price cuts that you took on several items in conjunction with PRO survey must have been impacting profitability somewhere in the chain, either in Willys or in Dagab or both. Isn't that correct?
Simone Margulies: I have to start -- I mean, I don't like to talk about the PRO. I think Willys has handled those questions. I mean, Willys -- there are so many methodological errors in that survey. So we don't actually take that much action about that. For us, I think it's important to put our performance in the perspective of a high competition in the market from all the players. And I think that we are navigating that quite successfully since we're gaining market share. We have a high competition in the market, and we also have a consumer that is very conscious with a high focus on price and price awareness. And that's the market that we are navigating quite well, I would say, since we're gaining market share and strengthen our positions with all our brands, our strong brands.
Magnus Raman: Great. Then on Snabbgross, you had a material setback in profitability in Snabbgross here in the quarter. And you mentioned temporary market investments here. So can you elaborate a little bit on that if perhaps you already did when you ran it through in the presentation, but for a reminder here on Snabbgross.
Simone Margulies: Yes. Snabbgross made some marketing investment that they didn't really get the ROI on in volumes. They had a good growth with 6%, but it didn't actually -- it wasn't enough to cover the negative effects in the margin and in the profitability. So they made a weak performance for the quarter.
Magnus Raman: So we should interpret that these will not be repeated, these type of investments then?
Simone Margulies: As you know, I don't give any forecasts on the segments, but...
Magnus Raman: No, no, without forecast but speak for itself.
Simone Margulies: It was not the exact fit. So that way.
Magnus Raman: Right. Okay. Okay. Great. And then on -- just looking forward then instead or not forward-looking statements, but looking at what we all know about the halving of the food VAT from 1st April. Do you think that this could -- I mean, we've had a period now where we had very high inflationary pressure where we've seen consumers trading down, so to speak, in the mix of what they consume. Do you think that the relief from the half food VAT might impact the mix in the other direction in any way?
Simone Margulies: To start with, we look -- we are very positive -- we look very positive on the reduction of the VAT. I think we have a consumer that has been very cautious, and we still think that the consumer is cautious, and it's very difficult to make any forecast on how the consumer will act. They are -- I would say they're a little bit scared from the price shocks that we have experienced the last years. And also, we have a pretty high unemployment in Sweden. So we think the customer is still cautious and focus on price value and value for money. However, we hope that we will get some positive mix effect in the way that we see -- that we're hoping to see more increased, I would say, purchases within sustainability and sustainable label food, but that's what we're hoping for. We think it's difficult to give you a forecast. The customer is still very price conscious, and there is a high competition in the market. So it's difficult to give you any forecast on this.
Magnus Raman: Right. And just a final one here on the falling international food commodity prices seen now for 4 months straight and also topped by the strengthening Swedish krona a bit, have you seen so far any effect as it related to your sort of dollar purchasing from this?
Simone Margulies: If you look upon the commodity, we see, as you said, we had higher inflation in the beginning of the year due to dairy, meat and also to coffee, and that was stabilized in the second half of the year. And also with the strengthening of the Swedish currency, of course, it's positive, but more on a longer-term perspective for the consumers, since there's so many things that are affecting the prices. But of course, in the long-term perspective, it's positive for the consumers when we see a more stable development in the commodity pricing and also a strengthening in the Swedish currency.
Operator: The next question comes from Rob Joyce from BNP Paribas.
Robert Joyce: I'll go one by one as well. Just following on from the last one. So in terms of inflation you're seeing in the market, you mentioned deflation in fruit and veg. Are we seeing slowing inflation further as we start 2026?
Simone Margulies: It's difficult to give any forecast on the pricing since there are so many things that are affecting. We also have a geopolitical situation. We have also, how do you say, the climate changes -- sorry, climate changes is also affecting, but we have had more stable pricing since the summer, I would say. How it will end up in the future, it's very difficult for me to give any forecast on.
Robert Joyce: But in terms of the first month you've seen, are we seeing prices sort of stable versus December or will they falling slightly further?
Simone Margulies: I can't give you any forecast on the pricing since there are so many things that are affecting the pricing.
Robert Joyce: Okay. And then maybe you mentioned competitive intensity of the market. Are you seeing any changes in the more recent months? Has that competitive intensity stepped up any players you'd flag?
Simone Margulies: I would say we have experienced a very competitive market for the last couple of years, I would say. And there has been a competition from all the competitors, I would say. So we're still in a market with high competition and also a consumer that is very price sensitive and cautious.
Robert Joyce: Okay. But no real changes?
Simone Margulies: No, we're pretty much in the same market as we've seen for the couple of years now.
Robert Joyce: Okay. And then in terms of the VAT cut, is your expectation that, that will be immediately fully passed to consumers?
Simone Margulies: Yes, definitely. The VAT is the tax, as you know, that the state put on the food. So I mean that is digitally transferred to the consumers.
Robert Joyce: Okay. Okay. And in terms of historical price elasticities, I mean, I guess we don't have much data on when prices actually fall. But do you have any sort of data which suggests how consumers might react to a 6% fall in prices or 4% -- sorry, 5% probably works out?
Simone Margulies: No. It's really difficult to know what the customers will do actually since we think it's very positive because the consumer have decreased their economy in the last years and by the lower VAT on food that will increase the buying power for the consumers. How they will act is difficult to forecast since they -- as I told a little bit before, they scarred from the years of high, the cost shock they've had high employment. So if they will save the money or they will buy other things than food or if they will place more money for, it's really difficult to forecast. So we actually don't do any forecast. And it's difficult also if you analyze different markets because it's been different situation in also in these markets.
Robert Joyce: Okay. Understood. And just looking at the sort of the Dagab numbers now and how that -- I guess you're sharing the savings more broadly across the group. Do you think as we look to the next investment in the supply chain, we should think about that more as a kind of just cost of doing business. You need to make this investment to maintain competitiveness rather than thinking about this as a sort of SEK 300 million, SEK 400 million boost to EBIT, potentially the people that we were thinking about before from the last project?
Simone Margulies: We will -- we are still negotiating regarding the building, the facility. And when we have everything set, of course, we will come back to you with the full scenario. But for us, it's important both to secure capacity for the southern part of Sweden from 2030 going forward. But also it's about strengthening our competitiveness. And when we will open the warehouse, we will have the same cost level as we have today, of course. But then, of course, we will improve our competitiveness over time.
Robert Joyce: Okay. And just one more broadly, just thinking about the environment. I know over here in the U.K., when there have been certain cuts on sort of business rates, for example, the grocers in the U.K. didn't really take those to the bottom line. Is there -- what's the political environment about -- if there is a volume increase in grocery, is there room for profitability to improve? Or is it very much focused on driving that consumer experience?
Simone Margulies: Could you rephrase the question?
Robert Joyce: Just I guess, with the VAT cut, I mean the sort of the overall environment, when these cuts are given to grocers, the expectation is generally the consumer sees the benefit. And I've said in certain markets we cover as well, we've seen those benefits largely just passed to the consumer. But in terms of the potential volumes increasing on the back of lower prices in food, do we think that gets further invested in the consumer? Or can that drive the bottom line?
Simone Margulies: Now, I understand. So first of all, as I said, we do not -- it's difficult to make forecast how the consumer will act. But the other part, we have a long-term goal -- target growth for our group set to 4.5%. And that will come from us to continue growing, attracting more customers and also improve our efficiencies within the entire group. So I mean, we're aiming and that's a long-term goal for us to strive towards. But also, I think it's important, if you look upon our figures last year and if you exclude City Gross, we're actually having a margin of 4.3%. So we're heading towards our goal, but it's set on the long term.
Operator: [Operator Instructions] There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Simone Margulies: So that was all for today. Thank you all for your good questions, and see you in the next quarter.